Operator: Good day, ladies and gentlemen, and welcome to the Q2 2017 Huntsman Corporation Earnings Conference Call, hosted by Ivan Marcuse. My name is will a Lashonda, and I'll be your event operator. At this time, all participants are in listen-only made. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I would now like turn the conference over to your host for today, Mr. Ivan Marcuse, Vice President of Investor Relations. Please proceed.
Ivan M. Marcuse - Huntsman Corp.: Thank you, Lashonda; and good morning, everyone. I am Ivan Marcuse, Huntsman Corporation's Vice President of Investor Relations. Welcome to Huntsman's second quarter 2017 earnings call. Joining us on the call today are Jon Huntsman, our Founder and Executive Chairman; Peter Huntsman, President and CEO; Sean Douglas, Executive Vice President and CFO; Simon Turner to be the President CEO of Venator; and Kurt Ogden, to be the Senior Vice President and CFO of Venator. This morning, before the market opened, we released our earnings for the second quarter and first half 2017 via press release and posted it to our website, Huntsman.com. We also posted a set of slides on our website, which we will use on the call this morning while presenting our results. During the call, we may make statements about our projections or expectations for the future. All such statements are forward-looking statements. And while they reflect our current expectations, they involve risks and uncertainties and are not guarantees of future performance. You should review our filings and the Securities and Exchange Commission for more information regarding the factors of that could cause actual results to differ materially from these projections or expectations. We do not plan on publicly updating or revising any forward-looking statements during the quarter. We will also refer to non-GAAP financial measures, such as adjusted EBITDA, adjusted net income, or loss and free cash flow. You can find reconciliations to most directly comparable GAAP financial measures in our earnings release, which has been posted to our website at Huntsman.com. Lastly, as you are aware, we have continued to pursue the separation of our Pigments and Additives business through the formation of Venator. In our prepared remarks, we will comment on second quarter performance of our Pigments and Additives segment and the material factors underlying period-to-period changes in this business. While conference call participants may ask questions about the Pigments and Additives segment during the Q&A portion of this call, we want to advise participants in advance that we may refrain from answering certain questions due to securities laws, restrictions that currently apply to our communications related to this segment. In our earnings release this morning, we reported second quarter 2017 revenue of $2.6 billion, adjusted EBITDA of $413 million, and adjusted earnings of $0.85 per diluted share. I will now turn the call over to Peter Huntsman, our President and CEO.
Peter R. Huntsman - Huntsman Corp.: Thank you very much, Ivan. Good morning, everyone. Thank you for taking the time to join us this morning. Let's turn to slide number 3. Adjusted EBITDA for our Polyurethanes division was $167 million. Our MDI Urethanes business, which includes propylene oxide, recorded adjusted EBITDA of $165 million, which is up $13 million over the prior-year quarter in spite of a $15 million planned Rotterdam turnaround impact. It should be noted that our Urethanes business continues to consistently report 18% EBITDA margin. Our strategy and strategic focus remain on growing our differentiated downstream MDI portfolio. In the first half of this year, we completed a planned maintenance project at our MDI facility in Rotterdam. As noted, this planned project, which occurs once every four years, impacted our results in Q2 by $15 million, in total by $20 million for the first half of 2017. We also had an unplanned outage at our PO/MTBE facility that decreased EBITDA by $10 million in the quarter. As a result of the planned Rotterdam maintenance, our ability to grow MDI was impacted, down 6% overall versus prior year. Excluding the impact of our maintenance activities in the second quarter, our MDI growth would have been 4%, which even so is capped because of capacity constraints. End market demand for MDI remained strong. We expect our own growth to be positive next quarter now that we have our major maintenance activities behind us. Our North American business grew at 7% versus prior year, driven by higher volumes in composite wood products and growth in our downstream differentiated consumer businesses. We were capacity-constrained in Europe and Asia, and we strategically grew our differentiated portfolio, while deselecting cyclical component volumes. Underlying demand in both regions remained strong across our insulation, automotive and ace businesses. While we expected some correction in margins in Asia during the quarter, profitability in both regions remain healthy. In Europe, we were pleased to add to our growing downstream polyurethane system-house network as we completed the purchase of IFS Limited, the UK's leading independent formulator of MDI-based systems. Our MTBE business reported EBITDA of $2 million, which was an improvement versus the first quarter, but down compared to the $19 million reported last year. The average C-Factor, which is an industry proxy for MTBE contribution margins, was $0.80 per gallon versus $0.89 per gallon last year. During the second quarter, we moved closer to completing mechanical construction of our MDI joint venture facility in Caojing, China, that will be ready to be commissioned by the end of this year, and we expect commercial operations during the first quarter of 2018. As a reminder, we believe that once fully operational, this new facility will contribute roughly $85 million in annual EBITDA with an estimated $20 million benefit in 2018. Also our world scale PO/MTBE joint venture in China is currently progressing through its start-up phase, which is so far occurred with minimal issues. A reminder, we own 49% of this joint venture, which utilizes Huntsman PO/MTBE technology. We expect our PO/MTBE joint venture to contribute roughly $10 million to $20 million of equity income in 2018. Finally, our previously announced 60,000-kiloton de-bottleneck at our Rotterdam MDI facility will be commissioned by the end of the year and will help us further grow our European business where we see strong end-market demand. As we look forward to the third quarter, the fundamentals in MDI Urethanes business remain positive and our strategy to drive downstream remain our focus. With our maintenance projects behind us, we will see the third quarter yielding a stronger performance than this past quarter. Let's turn to slide number 4. The Performance Products segment had a strong quarter and earned what I consider to be a more normalized level of margins in the high-teens. EBITDA was $102 million, which is $24 million above last year, when excluding the European Surfactant business we sold at the end of December 2016. The improvement was a result of 9% volume growth combined with the division's continued focus of reduction of controllable costs. On a sequential basis, Performance Products increased $18 million as a result of higher volumes, lower indirect costs, and further margin improvement in amines, maleic anhydride and surfactants. Both maleic and surfactants saw some margin and volume benefit from a balanced North American market due to increased demand in the quarter. Looking forward to the next quarter compared to the second quarter, we anticipate it will be seasonally lower in addition to a lower contribution margin from the upstream business. Also, as we've discussed on past – earlier calls, this business will be impacted by a planned multiyear maintenance turnaround during the third quarter, which we currently expect to impact EBITDA by $15 million to $20 million. We expect third quarter results, even after our planned maintenance projects, to exceed last year's results. Let's turn to slide number 5. Our Advanced Materials business reported EBITDA of $56 million in the quarter. Despite lower sales into the less-profitable base-liquid resins market, our total volume was up slightly. Excluding the negative volumes impact of DLR, volume was up 6% in our core specialty businesses. EBITDA was slightly lower in the quarter primarily due to the adverse effect of higher raw material costs, lower aerospace volume, and lower pricing in the competitive wind markets. Aerospace remains firm, but in comparison to last year, our products serving the aerospace market benefited from higher-than-normal widebody demand, which is more normal now. Looking forward to the next quarter and the second half of 2017, we expect modestly higher EBITDA primarily driven by the positive volume trends we're seeing in our differentiated businesses. Turning to slide number 6, our Textile Effects division reported EBITDA of $24 million. We believe that this business is growing at above-market growth rates as total volumes were up 6% in the quarter. We've experienced five sequential quarters of year-on-year growth, which much of this growth is coming from key regions such as China and India as this business is focused on bringing value-added and sustainable solutions to its customers in order to grow with them. We still believe that this business is capable of generating a mid-teen EBITDA margin in the next few years. Currently, its return on net assets over the last 12 months in the range of about 15%, which remains well above the previous year. Looking towards the third quarter, we anticipate that this business will see a normal seasonal decline versus the second quarter but results should be up versus the prior year. Turning to slide number 7. In the second quarter, our Pigments and Additives division earned $114 million of adjusted EBITDA. This represents a significant improvement compared to $31 million in the prior-year period and $69 million in the prior quarter. Venator further divides the Pigments and Additives business into two reporting segments, titanium dioxide and performance additives. As you can see, earnings from the performance additives segments were very stable. The earnings improvement for the business, in aggregate, is primarily attributed to the higher TiO2 selling prices and the delivery of $6 million in cost savings from our business improvement program during the second quarter of 2017. Average selling price for TiO2 are steadily improving. We announced the price increase of $250 per metric ton effective in the second quarter of 2017, successfully captured more than three-fourths of this announced price increase. The second quarter capture rate was higher than the first quarter capture rate of approximately one-half primarily due to seasonally stronger demand. We've announced a price increase of $250 per metric ton effective in the third quarter of 2017 and expect to capture between one-half and three-fourths depending on the region and market conditions. As we think about TiO2 margins going forward, we expect that there may be modest increases in raw material costs in the near term. Our titanium dioxide finished goods inventory on hand at the end of the second quarter 2017 was lower than it's been in the past several years. This is a trend that we believe is being experienced across the titanium dioxide industry. Before sharing some concluding thoughts, I'd like to turn a few minutes over to Sean Douglas, our Chief Financial Officer.
Sean Douglas - Huntsman Corp.: Thank you, Peter. Our adjusted EBITDA increased to $413 million in the second quarter of 2017, compared to $317 million in the prior-year period, pro forma for the sale of our European Surfactants business. Let's look in on slide eight. The two biggest drivers of this year-over-year improvement in adjusted EBITDA were volume and price, which were only partially offset by higher direct costs and the maintenance outage that Peter noted earlier. Compared to the prior quarter, our adjusted EBITDA increased to $413 million from adjusted EBITDA of $329 million in the first quarter. The $84 million sequential improvement in adjusted EBITDA was again primarily driven by volume and price, which were more than offset by higher direct costs and outages. Turning to slide nine, we ended the quarter with approximately $1.3 billion of liquidity, the same level of liquidity as at the end of last quarter, even after paying down $157 million of debt in the quarter and reducing the size of our securitization facility by €75 million in preparation for the separation of our Pigments and Additives division. Free cash flow generation remains a high priority for our company in 2017. In the second quarter, we generated $251 million in free cash flow, including $90 million from a tax refund in the second quarter. As we explained, last year, we enjoyed an unusual material benefit from a step-change in our working capital as compared with this year's second quarter. That step-change benefit amounted to approximately $250 million throughout the year. We continue to focus heavily on optimal working capital management and have managed to retain the step-change secured last year. Free cash flow in the quarter was $31 million below last year, primarily due to this difference in working capital, partially offset by an increase of $88 million in adjusted EBITDA and the previously mentioned tax refund. We remain focused on strengthening our balance sheet. At the end of the quarter, our net debt to trailing-12-month adjusted EBITDA stood at 2.9 times. This compares to a year ago when our net leverage was at 3.8 times. During the quarter, we paid down about $157 million in debt and just yesterday we prepaid $100 million on our term loan B due 2019. From the beginning of 2016 through today, we have repaid over $800 million of our debt. The expected proceeds from the separation of our Pigments and Additives business combined with ongoing free cash flow will continue to give us opportunity to further strength significantly deleverage. During the second quarter of 2017, we recorded income tax expense of $45 million and had net income tax cash receipts of $60 million due to a $90 million refund received during the quarter. We estimate net overall cash taxes to be close to zero in 2017, given the refund we received this quarter. Higher earnings in countries with valuation allowances and a lower adjusted effective tax rate of – resulted in a lower adjusted effective tax rate of 19% in the second quarter. Excluding Pigments and Additives going forward, we now expect our long-term adjusted effective tax rate to be in the range of 25% to 28% versus our previous expectation of 30%. The reduction in our expected long-term tax rate is largely due to a shift in expected earnings geographically to jurisdictions with lower effective tax rates. Our 2017 effective tax rate should be lower than our long-term rate likely in the 20% to 25% range. In 2017, we expect to spend approximately $380 million in capital expenditures net of reimbursements, which includes our Pigments and Additives business. Pro forma 2017 CapEx for Huntsman excluding Pigments and Additives would be approximately $290 million. Concerning that the fire at Pori that occurred in the first quarter within the Pigments and Additives business, we have received $130 million of insurance proceeds through the second quarter 2017. In July, we received an additional $11 million. Any unspent proceeds will transfer to Venator upon separation. As of June 30, the estimate was approximately $77 million of unspent cash. In summary, we continue to focus on generating strong free cash flow. For the first half of 2017, we realized $333 million of free cash flow, allowing us to pay down $265 million of debt through the current date. I will remind you that last quarter we raised our 2017 free cash flow target to greater than $450 million. Excluding Pigments and Additives from the second half of 2017, we target generating in excess of $150 million of additional free cash flow. When combining what we have achieved in the first half of 2017 with what we expect in the second half, without Pigments and Additives included in the second half, we are well on track to exceed the $450 million target. Our balance sheet is consistently becoming stronger and will benefit meaningfully from the additional deleveraging expected by the pending separation of our Pigments and Additives business. I will now turn back the call to Peter for some concluding remarks.
Peter R. Huntsman - Huntsman Corp.: Thank you, Sean. Our current priorities as a company are threefold. First, to increase the value of Huntsman Corporation and operate it as safely and responsibly as possible; second, to complete the separation of our Pigments and Additives business; and third, complete our announced merger with Clariant. I would like to comment on each of these objectives. The non-Pigments-and-Additives divisions of Huntsman collectively showed improvements over a year ago and the previous quarter. We see continued room for improvement in growth and margins. Additionally, we continue to generate strong free cash flow and paid down an additional $100 million of debt just this week. Sean just noted for the first half of 2017, we realized $333 million of free cash flow, and excluding Pigments and Additives from the second half of 2017, we target generating in excess of $150 million of additional free cash flow. As a reminder, since the beginning of 2015, we paid down over $800 million of debt. Let's move on to slide number 10. With respect to our second objective, the separation of our Pigments and Additives business, on Monday, July 24, we launched the IPO of our Pigments and Additives division known as Venator. We successfully undertook the issuance of new debt financing for Venator in preparation for the separation, including a bond offering of $375 million with a coupon of 5.75% due 2025 and commitments for a term loan B of $375 million due 2024 at LIBOR plus 3%. Venator will also have an asset-based loan with a commitment of $300 million upon closing. Once the IPO successfully completed, Venator will return back roughly $725 million of net proceeds to Huntsman, which will be used to reduce debt. This will be in addition to the IPO proceeds we expect to receive upon closing the IPO in which we are presently engaged. As noted on slide number 10, Huntsman's remaining business is comprised of a differentiated business with an overall EBITDA margin of about 15%, which we only intend to increase going forward. Assuming the completion of the IPO, starting in the third quarter in our financial statements, we will classify Venator as held-for-sale, which going forward, will exclude its earnings from our adjusted EBITDA and be treated similar to discontinued operations. This will allow the investment community to see the results of the go-forward Huntsman business even while Huntsman may retain a controlling interest in Venator for a temporary timeframe. We expect that Huntsman's corporate expenses will be reduced by $5 million to $10 million on an annual basis. With respect to our third objective, that being the merger of Clariant, we've included an update on how the merger is progressing. Let's turn to slide number 14 and review that. Together, the businesses will significantly benefit from a complementary asset geographic footprint, which will advantage the integration of our EO chain and amines as well as cross-selling opportunities. These high-margin sales opportunities are not included in our synergy targets. We are only in the early stages of planning our integration. We believe these opportunities should add in excess of 2% per annum of combined revenues of roughly 20% EBITDA products. Furthermore, the combined innovation and product know-how of both companies will open the door to new product development and applications. Subsequent to the merger, the combined business will enjoy a pro forma EBITDA margin in excess of 17%, including synergies. This merger offers a compelling strategic rationale for many different aspects. It combines Huntsman's legacy of entrepreneurship and low-cost efficiency with Clariant's innovation and business excellence. Today, in addition to capturing the commercial synergy opportunities I just mentioned from cross-selling opportunities, I'm very confident that we will achieve in excess of $400 million in annual cost synergies in addition to the $25 million in annual cash tax savings that we've identified. The cost synergies alone will create in excess of $3.5 billion in value. Another tremendous benefit in this merger is the creation of a stellar balance sheet with pro forma leverage under 1.5 times EBITDA. This will facilitate great flexibility for driving additional downstream growth organically and through acquisitions and provide opportunities for additional capital return to shareholders. Slide 15 and slide 16 drives down into more detail on many of the points that I've just made. Turn to slide number 17. The integration teams were formed promptly following the announcement and the initial planning for day one implementation of our integration plan is well on its way. I could not be happier with how smoothly everything is progressing. Already engaged in this efforts to plan the implementation of our synergies and integration initiatives are over 100 individuals dedicated to the overall success. Regulatory filings have been initiated in all key jurisdictions and are working through the appropriate channels. We stated when we announced this deal we did not anticipate any regulatory road blocks. We are still targeting a close near year-end to occur. Efforts are underway for the preparation of the F-4 filings expected to be made with the SEC in early September. We expect this will enable the proxy statements to be mailed to shareholders in early November. As we now have had the opportunity to meet with most of Clariant's top long-term shareholders, our integration team leads, customers and suppliers, I've been greatly impressed with the similarities, shared objectives and further opportunities. More than just a combination of quality assets and businesses, Huntsman-Clariant will have the industry's finest and most creative people. I'm confident that further improvements will continue to emerge as we near our closing in the creation of one of the industry's leading companies. Back to you, Ivan.
Ivan M. Marcuse - Huntsman Corp.: Thank you, Peter. Lashonda, will you explain the procedure for Q&A then open the line for questions?
Operator: Absolutely. Your first question comes from the line of Kevin McCarthy.
Kevin W. McCarthy - Vertical Research Partners LLC: Yes. Good morning. Couple questions on MDI. Peter, it sounds like your volumes there would have been about 4% as adjusted for various things. How do you think that compares to the market rate of demand growth? And do you have any price increases on the table for the third quarter in that business?
Peter R. Huntsman - Huntsman Corp.: Well, if you look at our MDI on a pro forma basis, again, if I strip out the outages that we had because of the planned maintenance, we saw volumes increase in North America – U.S. and Canada markets by about 8%. We would have seen growth in Europe of about 7%. And we would have been down a little bit in APAC as we redeploy MDI around the world and so forth. We certainly are starting to bump up against capacity constraints. If we had the volume, we'd be able to sell it into the marketplace. And I think that our additional capacity that will be coming in Caojing at the end of the year, early part of next year is going to be very important for us to be able to continue that growth. But even without the growth of more MDI – of crude MDI, we're continuing to take the crude MDI that we're selling into the market, the MDI that we're selling into the market and moving that into our formulation and downstream system houses as aggressively as we can. And that will be the area of the business that we'll continue to see the growth in the margin expansion going forward.
Kevin W. McCarthy - Vertical Research Partners LLC: Great. And then, Peter, as a second question, if I may, with regard to the pending Clariant MOE, you've had some activists emerge. What can you say about your confidence level that Clariant will gain shareholder approval and this will proceed?
Peter R. Huntsman - Huntsman Corp.: Well, I've had the opportunity since the time of closing. Matter of fact, I got to spend the majority of my time since the time of closing having had the opportunity to spend with my counterpart and my colleagues in Clariant. And the vast majority, 90% of that time, I've been visiting Huntsman and mostly Clariant long-term shareholders. And I would just say that there's virtual unanimous agreement in this transaction particularly as individuals have a right – or have – take the time to look into it, the similarities, the opportunities of transactional revenues and synergies coming from this merger. This really is building an industry leader. And I'm very confident that this is going to have shareholder support. And that it's going to be going through.
Kevin W. McCarthy - Vertical Research Partners LLC: Thanks very much, Peter.
Operator: Your next question comes from the line of Robert Koort. Please proceed.
Robert Koort - Goldman Sachs & Co. LLC: Thank you very much. Peter, I guess, I had two questions. You'd mentioned holing the Venator shares for a temporary timeframe. Can you talk about what the thought process is on how you'll proceed there? And then secondly, it looks like in your merger sides, maybe a new characterization of plastics and coating and textiles effects is managed for cash and turnaround. Given that textiles have been part of the Venator spin originally, does that suggest it could also be a candidate for divestiture and maybe that's one of the other ways to manage the cash is to generate it through asset sales? Thanks.
Peter R. Huntsman - Huntsman Corp.: Yeah. I think that as we think about the remaining Huntsman shares in Venator, we're obviously in a lock-up period for the next six months. And so we won't be seeing any secondaries unless market conditions would allow us to do that. I'd like to see us be able to monetize those shares as soon as we can. I certainly don't want to fire-sale them. And Venator is a great company. It's going to have a great future going forward. As I look into 2017, 2018, 2019, as I look at the long-term pricing trends and so forth, I think it's a great company. It's heading in a great direction. So we would like to see those shares going to the hands of investors that want to keep – that want to invest in Venator on the long term, and we'll be selling those shares as we have an opportunity to do so. But, again, I wouldn't see that there's going to be a mass exit or panic of trying to get out of these as quickly as possible. This is an orderly transition that will be taking place here. Let's see. With regards to the second question around textile effects, I think that we've looked at textile effects. Again, I think we mentioned at our Investor Day a year, year-and-a-half ago that this is a business that we're expecting to continue to see improvements. We expected it to move towards a triple-digit EBITDA level, a double-digit margin level, and a double-digit return on asset level, which a year-and-a-half ago, two years ago, it wasn't doing any of those things. And today, we're running at about a 15% RONA, and we're up over 10% of margins in the business. We're up almost 13%. And we continue to see this business in a turnaround effect. I think the idea of selling or divesting of any division at this point before as we're moving into closing on a transaction here, it would be premature to make any decisions today as what we'll be doing longer term. I would just note that if we have $400 million, and I think that we've been very clear in saying that we expect that we will be exceeding that number, then if we see a $400 million of cost benefits coming to these divisions, it would seemingly make sense to me that we ought to be taking advantage of the benefit of that synergy project coming out in the first two years of the merger and then look at selling an asset if you indeed wanted to sell an asset. I think you'd want to make sure that you have the benefit of something like that. So I'm just being personal here. I'm not sure that to come out today in saying that we're going to be quickly liquidating an asset would be the best route forward. But certainly, with the larger pool of assets, with the larger pool of revenue and businesses that you have to spread your fixed costs about, we certainly – I think both companies on a combined basis will have greater flexibility to manage those assets going forward to how it will best benefit shareholders.
Robert Koort - Goldman Sachs & Co. LLC: Thank you.
Peter R. Huntsman - Huntsman Corp.: Thank you.
Operator: Your next question comes from Frank Mitsch.
Frank J. Mitsch - Wells Fargo Securities LLC: Hey. Good morning, gentlemen. Hey, on the Performance Products business, that was one area of key upside. I was wondering if you could talk about the pace of your business throughout Q2 and how it started here in Q3. And you also mentioned that you were able to realize higher pricing in response to higher raws. How should we think about the interplay between pricing and raws in that segment and the sustainability of the improvement? I think you mentioned, Peter, that you are expecting year-over-year improvement there despite the turnaround?
Peter R. Huntsman - Huntsman Corp.: Yes. I would just say, typically, with Performance Products, second quarter is our strongest quarter that we have. So I'm not sure that when we talk about a seasonally slower third quarter, that shouldn't be a surprise. But I would certainly say that even with the expense of the turnaround in the third quarter, that $15 million to $20 million of expense, we believe that we'll be over the previous year. And I think the strength in that business, if we look at on a quarter-to-quarter basis, year-over-year, we're up in amines on EBITDA, we're up in surfactants on EBITDA, we're up in our maleic anhydride EBITDA. And these are all quality businesses that I think when I talked about a business that's back on a normalized run-rate, if you look over the last couple of years, this has been a business that's operating in the high-teens. 18% EBITDA to sales. And I would expect this business to continue to improve throughout the remainder of the year in comparison to 2016. And I think the business has a very strong future to it.
Frank J. Mitsch - Wells Fargo Securities LLC: Well, and to that end, is there anything that you're aware of in terms of capacity additions in either amines or maleic that might pressure 2018? Or the way that we should think about this business as it is now as you say back on the right trajectory?
Peter R. Huntsman - Huntsman Corp.: I think that when we look at large world scale projects that would be adding meaningful capacities of amines and maleic into the industry, which I think would be the two businesses that I would be most concerned around capacity utilization. I think that – I don't foresee anything in the industry. I don't see any big projects that are coming on. So as I look out into 2018, 2019, I think this division is going to continue to be very strong and gradually continue to strengthen as it has over the last couple of years. This will be the business, too. As you look at the greatest synergy opportunities, where we see meaningful operating synergies, marketing sales, technological overlaps between Huntsman and Clariant, it is between Performance Products and the Care Chemicals and the Natural Resources, where you see a lot of the amines businesses. We're selling into the amines chemistry going into the oilfield services. Huntsman gets very excited about the idea, Frank, that we've got dozens of people working in this area to expand this end of the business for us. Clariant has hundreds of trucks that are throughout the North American U.S. market. When we talk about the combination between our amines business and the Clariant Natural Resources division, there's great overlap. When you look at the technology in amines and surfactants and so forth that we have in Performance Products, the EO chain, when we look at the EO chain of chemistry that Clariant has in Europe, again, you're looking overall between these three divisions that I just mentioned. You're looking at over a third of our combined businesses that have obvious overlap. And that's where we've looked and have already, we believe, we've seen an excess of 2% of revenues, 20% sort of margin business. So as I look at just Performance Products on a standalone basis, great division. It's going to continue to improve over the next couple of years. I look at the Performance Products, and I overlap that with Care Chemicals and Natural Resources with Clariant, it's going to be an even better business. Even stronger business that'll have cost opportunities to be taken out and revenue enhancement and margin enhancement that will be coming in. So this will obviously be a very core business going forward.
Frank J. Mitsch - Wells Fargo Securities LLC: Thank you.
Operator: Your next question comes from Mike Hanson [ph]. Please proceed.
Unknown Speaker: Hey, can you hear me?
Peter R. Huntsman - Huntsman Corp.: Yes, we can.
Unknown Speaker: Sorry, I didn't know if that was me or not. So I apologize. Hey, Peter, in terms of EBITDA growth for 2017, on slide 10, you highlighted the new Huntsman less Venator. What type of growth do you think you can generate in 2017, and then, maybe just longer term, this portfolio on its own should generate what type of earnings growth?
Peter R. Huntsman - Huntsman Corp.: Well, as we look at this without Pigments and Additives, we certainly would be looking here at probably – I would say, you need to look on division-by-division basis, but we certainly ought to be doing, I would think, 1.5 times to 2 times GDP on a macro basis when we talk about consistent earnings growth. Now, some divisions are going to grow faster than and others slower than that and so forth. But certainly better than GDP sort of growth on an EBITDA basis. Cash flow generation is going to continue to be very strong. And as I look out over the next two years to three years, we've just completed, as I mentioned in my script, some very large projects in China, a joint venture project on PO/MTBE and new MDI plants will be coming on at the end of this year, an amines capacity this past year in Singapore, an MDI expansion in Rotterdam. We are very well-equipped to satisfy better than GDP growth in all of our businesses by the end of this year, better than GDP growth in all of our businesses for the next couple of years. And so I would consider us over the next couple years having stronger than GDP growth and to be able to maintain strong free cash flow.
Unknown Speaker: Okay. And then, moving to the Huntsman-Clariant, I was intrigued with your new commentary that you can add 2% revenue growth annually by leveraging Care Chemicals, Performance Products, Natural Resources and the EBITDA margins would be pretty good. Can you maybe give us a little bit more color on how that flows through over the next couple of years?
Peter R. Huntsman - Huntsman Corp.: Well, I think that as we look at that, and I do have to be general because these are areas that we need to have government approval on. So we've not had an opportunity to get into customer-by-customer, product-by-product in pricing on these things and nor will we be able to until probably the time of closing around year-end. As we look at our existing customer base – our existing customers, particularly, in North America, and we ask if we were to have the Clariant technology, the products and so forth, if we can add their supply chain into our existing supply chain, what benefits would we see internally in these areas? We don't want to be looking at Clariant customers, and what we're seeing is that there's a tremendous amount of complementary production here. Not competing products. We supply many of the same customers, but we supply them different applications and different formulations. And when you bring these together, and when you bring the routes to market that Huntsman has particularly in North America, we see real benefit. If we look at particularly the routes to market that Clariant has and their advantageous supply chain, raw material positioning and so forth in Europe, I think that's very strong. We get very excited when we look at those sort of opportunities from marketing and sales basis. When we look at where we're trying to go in Natural Resources and so forth in our own businesses, and where we've started to move in the last couple of years with our amines and moving downstream in amines, we're the largest producer of amines. I think we're the lowest cost producer of amines globally when you take our entire portfolio, and we want to move that further downstream. We want to accelerate the growth of our amines. And the combination of Clariant, obviously, we're there already in many of those downstream applications, we take a very steady and a very competitive supply chain and we put it together with their further downstream. And again, I talk about a 2% revenue on the size of company like this with a 20% margin. We will certainly be able to put more clarity into that as we get closer and as we're able to – from a regulatory clearance perspective, be able to look at this in greater detail. But thus far, everything that we see tells us that the opportunities are going to be greater there and not less.
Unknown Speaker: Great. Thank you.
Operator: Your next question comes from the line of Ahmed Hassan. Please proceed.
Hassan I. Ahmed - Alembic Global Advisors LLC: Morning, Peter.
Peter R. Huntsman - Huntsman Corp.: Good morning.
Hassan I. Ahmed - Alembic Global Advisors LLC: Peter, obviously, as I take a look at your MDI results, I mean, not Polyurethanes generally, but MDI, in particular. Margins have been quite steady-Eddie. High teens, call it, 18% this quarter. From the sounds of it, supply/demand fundamentals seem quite snug. It seems demand at least in the near- to medium-term, demand growth will exceed supply growth. So first question is, are you in agreement that at least near- to medium-term, despite some incremental capacity coming online, supply/demand fundamentals should continue to be tight? So that's the first part. Second part is that as one sort of sits there and thinks about further tightness within the MDI chain, how much higher could your MDI margins go from where they are right now?
Peter R. Huntsman - Huntsman Corp.: Well, as I look at the supply and demand, I would strongly – well, I'd agree very much with what you had to say, and I would just note that as we look at the health of our MDI business, we're reporting here $144 million just in MDI. And I would just note that $15 million was the cost of the maintenance impact on Rotterdam. So really as we look at our second quarter 2017 margins and pro forma basis, it's around $159 million, $160 million versus $125 million of where we were last year. So as I look at that supply and demand basis, I do think that it's going to be a relatively snug market over the course of the next couple of years here. As we look at the large world scale projects that have been announced, there are only two of them that are really out there. I'm talking about large grassroots facilities. One of them is the Dow Sadara and I think that a lot of that – they're going through their start-up right now, and I suspect that a lot of the pre-marketing for that is already out in the market. Their people have been out obviously pre-selling that material. So the impact of that while volumetrically may not be in the market, I think from a pricing perspective is already affecting parts of the market. And then, Huntsman will be coming on with our project early next year. After that, I don't see large grassroots facilities, nothing that's on the horizon. I would remind you that it takes a couple of years to build these facilities, permit them, engineer, build them, and commission them. So I think that we're in a pretty well-balanced market environment for the next couple of years. I would just reiterate that as you look at Huntsman's MDI business, 75% of our MDI goes into downstream businesses, goes into downstream formulation. We're taking our MDI and we're mixing it with our own polyols and mixing it with other amines and other products that we're producing, products that we're buying. And as we look at that, if the markets get particularly tight and you see spikes that occur in more commoditized MDI, Huntsman may not be able to take full advantage of that because I think that most of our MDI – I'd like to see three quarters of it if not more going downstream because the majority of the time, I would much prefer to have an 18%-plus EBITDA margin business that's consistent, it's growing consistently, we have consistent performance, and you control that supply chain. You control that chemistry going downstream. You control the value of that chemistry. So as I look at that on tightness, I'm not sure that Huntsman will be on its own without any partners or anything building crude MDI facilities in the future. I think that our focus and our resources and our capital is going to be much better spent continuing to move further downstream in those areas of growth and opportunity. Where we're seeing solid – in many of our downstream applications formulation applications, we're seeing in excess of 20% EBITDA margins in those applications and strong growth. So that's going to be our focus longer term.
Hassan I. Ahmed - Alembic Global Advisors LLC: Understood. Understood. Very helpful. Now, as a follow-up, on the other side of things, as I take a look at your raw material costs, some of the core raw materials, be it benzene, be it methanol, and the like, came down decently through the course of Q2. So just trying to get a sense of, A, what sort of a tailwind was that for you, be it on a quarter-over-quarter, or year-over-year basis? And then, part and parcel with that, you're guiding to being able to generate over $115 million in free cash in the back half of the year. So just trying to get a feel of what sort of a raw material pricing environment are you baking into that forecast?
Peter R. Huntsman - Huntsman Corp.: I think that on a macro basis, we're assuming that crude and natural gas really stays fairly consistent. You're going to see some choppiness in the downstream. A year ago at this time crude was in the mid to high $40s, and as we look at second quarter, crude WTI, though we don't buy, it is an indicator, it was at $48. As we look at natural gas a year ago, it was around $2, and today it's around $3, Benzene's moved up a little bit. It's up 9%, 10% over the last year. Butane a big raw material for us, it's up 20%. You're going to see some choppiness in that. But I think most of our businesses are – the products are running at solid capacities and we have enough downstream applications. You might see a quarter delay in the raw materials that we take, and the prices that we're able to pass on to customers. But I think within a quarter or two, we ought to be able to most all of our products are strong enough today, downstream enough, differentiated enough, we ought to be able to pass through those price – raw material price movements.
Hassan I. Ahmed - Alembic Global Advisors LLC: Very helpful. Thank you so much, Peter
Peter R. Huntsman - Huntsman Corp.: Thank you.
Operator: Your next question comes from the line of John Roberts. Please proceed.
John Roberts - UBS Securities LLC: Good morning.
Peter R. Huntsman - Huntsman Corp.: Good morning.
Sean Douglas - Huntsman Corp.: Good morning.
John Roberts - UBS Securities LLC: How many segments do you think you'll ultimately end up with after the merger?
Peter R. Huntsman - Huntsman Corp.: Less than the reported eight that we have today.
John Roberts - UBS Securities LLC: Can you narrow that range at all?
Peter R. Huntsman - Huntsman Corp.: Well, I would, but I think that's something that we're working on very closely with our counterparts. And until we've had an opportunity to really go through and get regulatory approval and look at customers' chemistries, applications and so forth, we would like to try to obviously simplify it, make sure that there's clarity on a financial reporting basis. But, yes, we would like to definitely get it down lower than where we are today. But I am just simply not in a position where we're going to say it's going to be four divisions, six divisions, or anything like that.
John Roberts - UBS Securities LLC: All right. And more operationally, are you fully self-sufficient on PO and polyols? And to move more MDI downstream, do you need to buy or build more PO or polyol capacity?
Peter R. Huntsman - Huntsman Corp.: I think that we're in a very good position right now with propylene oxide. We are a large, very competitive producer, a low-cost producer in North America. We're a net buyer in the European markets. We have long-term agreements. And obviously, with the completion of our PO/MTBE joint venture we have in China, we'll be sufficiently supplied in China. So I do not see PO or polyols, either one, as being a limiting factor on the growth of profitability of our MDI downstream formulation business going forward.
John Roberts - UBS Securities LLC: Thank you.
Peter R. Huntsman - Huntsman Corp.: Thank you.
Operator: Your next question comes from the line of Laurence Alexander. Please proceed.
Laurence Alexander - Jefferies LLC: Good morning.
Peter R. Huntsman - Huntsman Corp.: Good morning.
Laurence Alexander - Jefferies LLC: Two quick questions. I think that it was back in 2016 you were highlighting your growth project pipeline, which I think was about $2.5 billion of investment for about $300 million, $400 million EBITDA tailwind. What's your current thinking for what the pipeline for growth projects might be for 2018 to 2020? So that's the first one. And then the second question is for the standalone new Huntsman, how much leakage do you expect for any pension costs, run-rate restructuring, other cash flow items that would be a bit of a drag on the cash flow bridge post the Venator spin?
Peter R. Huntsman - Huntsman Corp.: Well, I'll go ahead and answer the growth project, and turn over to Sean the other questions. On the growth projects, I would say, Laurence, that over the last two years to three years, we've had fairly heavy capital investment in areas that we thought we would be needing excess capacity. And that would include our MDI, our downstream PO, which we're satisfying through joint ventures, our downstream MDI that we have through our Caojing expansion, through our expansion in Rotterdam. We spent a lot of money in restructuring, expanding our capabilities in advanced materials and the aerospace industry. We spent several hundred million dollars in restructuring and expanding and investing in the Venator assets as well. Our titanium dioxide. And I think that that $300 million in benefit that we see on an overall basis. If I look at just where we were last year to where we will come out this year, if we kept the Pigments and Additives business as part of our portfolio, I think you'll see much of that $300 million just in this year to last year improvement that we'll see in EBITDA because of that investment. That's just over one year. So I think that investment is very sound over the last couple of years. Now, as I look going forward, I think that the real growth drivers are going to be taking the volume that's coming out of those capacities and continuing to move that further downstream. Moving that into formulations, moving that downstream into amines, moving it downstream through system houses, through the bolt-on acquisitions. I just announced one today in the UK. Another one and so as I look at our MDI business, roughly about 25% of our EBITDA comes through these smaller bolt-on acquisitions that take our MDI, move it downstream, and we make more EBITDA margin than we otherwise would be making, if we were just selling into the market – into the polyurethanes market. So as I look over the next couple of years, I see real opportunity to take the volume, move it downstream, less capital-intensive, more R&D, more differentiated higher margin sort of opportunity.
Sean Douglas - Huntsman Corp.: Great. I'll take the second question. As we look at restructuring and we try to bridge it together when we take Pigments and Additives out, Pigments and Additives does carry a little bit of the lion's share there of restructuring going forward. With that coming out, there's not a lot left in terms of restructuring cash, that's going to be paid out the door. You think about second half, think about roughly $20 million of restructuring cash that would be left in the Huntsman portfolio excluding the Venator business. And if you look at pensions, there's truly a little bit of a benefit there that will come to Huntsman as that goes out as Venator has a little bit of cash flow there as well.
Ivan M. Marcuse - Huntsman Corp.: Operator, I think with the constraint on time, we'll take one more question.
Operator: Your last question comes from the line of Jim Sheehan. Please proceed.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you. Peter, where do you see global MDI operating rates today? And where do you see them going once your Caojing unit starts up?
Peter R. Huntsman - Huntsman Corp.: Global operating rates stay probably, I would say, in the low 90%s. Again, that's a tough number to talk about – well, to try to calculate, because when I look at global operating rates, you're looking at design capacities. And oftentimes MDI facilities in particular because they are trickier facilities to run, if you have a facility that's designed to operate at 400,000 metric tons, it's pretty rare that you actually get that 400,000 metric tons out of it, because you're constantly having to go through maintenance work, T&Is and so forth. So oftentimes, we look at this capacity utilization on a theoretical basis that looks like today that it would be in the high 80%s, around 90%. I would say globally that we're in the low 90%, though it feels in some areas that it's tighter than that. I would imagine that Europe is in the mid to high 90%s. America, it feels like is in the mid to high 90%s, and Asia is obviously below 90%. But, again, as I look at Asia, I continue to see what feels like pretty good market conditions in Asia, margin-wise, demand and growth. And I'm not sure that that stated capacity in Asia is – that necessarily means that's how much MDI you can actually produce. So sorry. That's a rather long answer, but oftentimes, you look at a lot of these analyst reports and so forth that are showing MDI and somebody will start an MDI facility up midway through the next year, and they'll show that facility starting up several hundred thousand metric tons over night, and then it just operates at that going forward. And that just is not the case in MDI. These facilities take months to commission and start up. And as we've seen over the last couple of years, not just in Huntsman, but in the industry, these facilities, especially, the larger you build them, you get a single contaminant that goes in, and the entire facility comes down, and you're going through that start-up procedure all over again. So it feels that we're right globally around 90%-plus.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Great. And there's been a new propylene oxide project announced in Texas in the next few years. Can you talk about supply/demand balances in that business? And how you see that developing over the course of time as that starts up?
Peter R. Huntsman - Huntsman Corp.: Well, that's a lot of PO. I obviously had nothing to do with the decision to invest that much money and that much capacity, so I probably ought to keep my mouth shut or I'll get in trouble.
James Sheehan - SunTrust Robinson Humphrey, Inc.: All right, Peter. Thank you.
Ivan M. Marcuse - Huntsman Corp.: Great. Thank you for joining us on the call today. If you have any follow-up questions, feel free to call or email Investor Relations, and we look forward to talking with you again next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. You may now disconnect, and have a wonderful day. Thank you.